Stefanie Wettberg: Good morning, everyone. Welcome to BASF's conference call for the third quarter of 2025. Today's presentation is being recorded. [Operator Instructions] Today's presentation contains forward-looking statements. These statements are based on current estimates and projections of the Board of Executive Directors and currently available information. Forward-looking statements are not guarantees of the future developments and results outlined therein. These are dependent on a number of factors. They involve various risks and uncertainties, and they are based on assumptions that may not prove to be accurate. BASF does not assume any obligation to update the forward-looking statements contained in this presentation above and beyond the legal requirements. With me on the call today are CEO, Markus Kamieth; and CFO, Dirk Elvermann. Please be aware that we have already posted the speech on our website at basf.com/Q32025. Now I would like to hand over to Markus.
Markus Kamieth: Yes. Thank you, Stefie. Good morning, everyone. Dirk and I welcome you to our Q3 conference call. In the third quarter of 2025, market dynamics for the chemical industry continued to be challenging. Upstream margins were still under pressure and customer buying behavior in almost all industries and regions remained cautious. Even in this demanding environment, BASF earnings came in slightly above market expectations and only slightly below the level of the prior year quarter. Let's start with a closer look at the sales performance of BASF Group compared with the prior year quarter. Overall, sales declined slightly on account of strong currency headwinds and lower prices. We were, however, able to achieve slightly higher volumes due to growth in the Surface Technologies, Chemicals and Materials segments. From a regional perspective, we recorded 12% volume growth in China, slightly -- slight volume growth in South America and fairly flat volume development in Europe. In North America, volumes were slightly down. Compared with the prior year quarter, prices declined in 4 out of our 6 segments, particularly in Chemicals. In the Surface Technologies and Nutrition & Care segments, we managed to achieve price increases. Currency effects dampened sales in all divisions and were mainly related to the strong depreciation of the U.S. dollar, Chinese RMB and the Indian rupee. Portfolio effects slightly supported sales growth. Reflecting this underlying sales development, EBITDA before special items came in at over EUR 1.5 billion compared with EUR 1.6 billion in the prior year quarter. Here is a snapshot of how the markets and our segments' volumes and specific margins developed in the third quarter. Due to a continued imbalance between supply and demand and the resulting pressure on margins, the business environment in our upstream segments remained challenging. Despite these market headwinds, the Chemicals segment achieved solid volume growth in both divisions. However, the segment faced significantly lower prices and sharply reduced specific margins. The Materials segment recorded slightly higher volumes despite the difficult market environment due to higher volumes in Monomers and stable volume development in Performance Materials. Prices declined in both divisions. However, our overall margins in the segments were lower driven by the Monomers division. The Industrial Solutions segment operated in a subdued market environment. Volumes declined slightly in both divisions. Specific margins declined considerably, particularly in the Performance Chemicals division. The market environment for Nutrition & Care became considerably more challenging in the third quarter 2025. Both divisions recorded lower volumes, but the segment achieved slightly higher prices. The specific margins in the Nutrition & Care segment declined. Lower fixed costs and improved margins in the Nutrition & Health division were more than offset by lower margins in the Care Chemicals division. Let's now move on to Surface Technologies and its main customer industry, the automotive industry. According to the latest data, global light vehicle production in the third quarter increased by around 4% compared with the prior year quarter, mainly because of considerable growth in China. For the full year 2025, we expect global automotive production to increase by around 2% compared with 2024. In this environment, the Surface Technologies segment recorded volume growth, mainly in the Environmental Catalyst and Metal Solutions Division, or ECMS. Overall, prices were up considerably. Specific margins in the Surface Technologies segment also increased slightly. Finally, let's look at the Agricultural Solutions segment. Crop commodity prices remained below historical averages, and financing costs were still elevated for farmers, resulting in unchanged and challenging economics for them. In this environment, the Agricultural Solutions segment recorded slightly lower volumes and prices compared with the prior year quarter. By contrast, the segment achieved considerably higher specific margins in a seasonally lower quarter. Let's now look at EBITDA before special items by segment. In Q3 2025, considerable earnings growth in the Surface Technologies and Agricultural Solutions segments as well as improved earnings and other were offset by lower earnings in the core businesses. Compared with the prior year quarter, EBITDA before special items in the Surface Technologies segment increased significantly due to Environmental Catalyst and Metal Solutions. The earnings increase in this division was primarily driven by significantly lower fixed cost, a strong precious metal trading business and volume growth. Lower fixed costs resulted from continuous cost improvement measures and U.S. government grants for which ECMS is eligible as a leading recycler of platinum group metals. Let me reiterate what we communicated at the Capital Market Update in Antwerp at the beginning of this month. After the successful carve-out, ECMS has a stronger setup, and we will keep the business for longer. Accordingly, we expect to benefit from strong cash contributions from ECMS amounting to a cumulative cash flow of roughly EUR 4 billion from 2024 to 2030. Turning to Agricultural Solutions. Earnings in this segment rose considerably, mainly due to improved margins, particularly the successful market launch of glufosinate-P-ammonium and lower manufacturing costs contributed to this development. We continue to expect that a slight increase in full year earnings is achievable. The Core business recorded lower earnings mainly due to the previously mentioned lower margins, which were partially offset by lower fixed cost. As the deviations from average analyst expectations were largest in Nutrition & Care, I will give you a few more details on this segment. Compared with the third quarter of 2024, the Nutrition & Care segment generated considerably lower earnings. The Nutrition & Health division increased earnings, mainly due to lower fixed cost, while the Care Chemicals division recorded a decline. The main reasons for this was continued margin pressure, which was particularly pronounced in Personal Care, where Asian competition is strong. I will now give a short update on our Verbund side in South China. Let me begin with what we communicated at the recent Capital Market Update in Antwerp. We will complete this mega project with capital expenditures around EUR 1.3 billion lower than originally planned. We achieved this CapEx reduction through tight budgetary discipline, scope changes and excellence in procurement. As a result of the currently long markets in China, we will have a slower-than-anticipated ramp-up of the overall earnings contributions. In the coming years, we expect most markets and value chains to rebalance. We, therefore, confirm the targeted EBITDA before special items of EUR 1 billion to EUR 1.2 billion by 2030. Now this slide illustrates the impressive progress the Zhanjiang team has achieved since May. This includes the successful mechanical completion of the steam cracker and downstream petrochemical plants. The infrastructure and utility plants are already in steady operation. Additionally, we have safely and successfully started up various downstream plants, including butyl acrylate, 2-ethylhexyl acrylate, formaldehyde, neopentyl glycol and glacial acrylic acids with more start-ups to come. Thus, we are transitioning the project from construction to operational readiness. These achievements mark steady progress towards the site's full operational start-up at the end of 2025. Let's now move on to the binding transaction agreement on BASF's Coatings business, which we announced on October 10. The agreement with Carlyle marks an important milestone in focusing our portfolio and unlocking the value of our Coatings business. It demonstrates our strong commitment to swiftly execute BASF's Winning Ways strategy and create a leading coatings company under Carlyle's operational leadership. The enterprise value of this transaction amounts to EUR 7.7 billion. Subject to customary regulatory approvals, the transaction is expected to close in the second quarter 2026. At closing, BASF will hold a 40% equity stake and will receive pretax cash proceeds of approximately EUR 5.8 billion. We will remain invested with a considerable minority share because we believe in the future, value creation of the Coatings business, and we want to participate in the upside potential. Together with the divestiture of BASF's Decorative Paints business to Sherwin-Williams, which we closed on October 1, BASF's entire Coatings division is valued at an enterprise value of EUR 8.7 billion. The implied 2024 EV to EBITDA multiple before special items of approximately 13x is evidence that we are unlocking value for this division. And with that, I will hand over to Dirk.
Dirk Elvermann: Yes. Thank you, Markus, and good morning, everybody. Let me first address the implications of the Coatings transaction agreed with Carlyle in terms of BASF's statement of income and statement of cash flows. As of September 30, 2025, and until closing of the transaction, BASF will report the business in its P&L as discontinued operations. Therefore, sales and earnings of the business are no longer included in sales, EBITDA and EBIT of BASF Group, with retroactive effect as of January 1, 2025. The prior year figures have been restated accordingly. Income after taxes of the business is presented in the income after taxes from discontinued operations. Between signing and closing, depreciation is suspended. Regarding cash flows between September 30, 2025 and closing of the transaction, there is no impact or change. As before, the business will be considered in the respective line items of BASF's statement of cash flows. As of closing, BASF's minority stake of 40% will be accounted for as a financial investment under the equity method and will be reported in EBITDA and EBIT before special items of other. The cash inflow from the transaction will be reported in cash flows from investing activities in the line item payments received from divestitures. After closing of the transaction, dividend payments from the business to BASF Group will be reported in BASF's cash flow from operating activities. Within BASF's cash flows from operating activities, the equity result of the business will be eliminated. Now this table provides a comprehensive overview of the major changes in BASF's reporting following the classification of the automotive OEM coatings, automotive refinish coatings and surface treatment businesses as discontinued operations. In the quarterly statement published today, we provide all relevant financial figures on both a pro forma basis, i.e., with coatings still fully included in the segment result of Surface Technologies as well as excluding the discontinued coatings operations. It should be noted that the Decorative Paints business sold to Sherwin-Williams is not affected by the restatement. It remained part of the Surface Technologies segment until its divestment on October 1, 2025. This means that the figures for the Coatings division in the Q3 segment reporting refer exclusively to the Decorative Paints business, which was already classified as a disposal group in Q1 of this year. Now I would like to turn to BASF's capital allocation framework and explain how we will use the considerable cash proceeds from portfolio measures that we have already generated and are about to generate soon. As you know, we closed the sale of BASF's food and health performance ingredients business to Louis Dreyfus Company on September 30, 2025. This is reflected in the quarterly statement for Q3 2025. The sale of BASF's Brazilian Decorative Paints business to Sherwin-Williams was closed on October 1, 2025. The purchase price amounted to USD 1.15 billion on a cash and debt-free basis. For our Coatings transaction with Carlyle, which is expected to close in Q2 2026, we will receive pretax cash proceeds of around EUR 5.8 billion. At maximum, we assume taxes to be in the mid-triple-digit million euro range. We are also making further progress with the monetization of our oil and gas assets. In 2025, we will receive around EUR 200 million resulting from dividends from Harbour Energy and our participation in Harbour Energy's ongoing share buyback program. As we have stated on several occasions, we consider our participation in Harbour Energy to be a financial investment, and BASF's strategy remains to exit at the right time, being mindful of the value. There's also good momentum on the topic of federal investment guarantees. Wintershall Dea received a first installment from the German federal government in Q3 2025, and we expect a final decision soon. Proceeds will be distributed by Wintershall Dea via dividends and will contribute to BASF Group's operating cash flow in 2025 and 2026. As announced at our Capital Markets Day in 2024 and confirmed at our update earlier this month, we are targeting IPO readiness of BASF's Agricultural Solutions division by 2027 with a potential listing of a minority share as a next step. In other words, this cash event is beyond the 2025, 2026 window. Now, let's move on to the use of cash with a focus on the rest of this year and next year. We are clearly committed to paying an annual dividend of at least EUR 2.25 per share, subject to approval by the AGM. Furthermore, we will use a substantial part of cash proceeds to deleverage the balance sheet and secure our financial strength. The maturity profile of outstanding bonds will allow us considerable deleveraging in 2026. As announced yesterday, we will start buying back shares as of November 2025. This is a considerable acceleration compared with our initial plan to buy back shares from 2027 onwards. I will provide more details on the next slide. Large acquisitions are currently not in focus while smaller to midsized acquisitions remain possible. Capital expenditures will be significantly reduced in 2026 and beyond and will consistently stay below depreciation until at least 2028. Ladies and gentlemen, we are swiftly delivering on our Winning Ways strategy, and we are fully committed to attractive shareholder distributions. Therefore, and in view of our quick progress on the portfolio side, we have announced that we will start a share buyback program with a volume of up to EUR 1.5 billion in November that is scheduled to be executed by the end of June 2026. This is part of the share buyback announced at the Capital Markets Day in September 2024, with a total volume of EUR 4 billion until the end of 2028. The earlier start of the program demonstrates management's confidence in the underlying financial strength of our company. In our view, this is not fully reflected in the current share price. Now is the time to return capital to our shareholders and reduce the number of shares while bringing down debt. Let's now take a brief look at the financial details of BASF Group for the first 9 months of 2025 compared with the same period last year. All these figures still include the discontinued operations. At EUR 5.9 billion, EBITDA before special items declined slightly compared with the first 9 months of 2024. The EBITDA margin before special items, excluding metals, remained almost stable at 13.6%. EBIT before special items reached EUR 3.1 billion compared with EUR 3.4 billion in the same period last year. Special charges were largely incurred for restructuring measures as well as for the sale of BASF equity share in the Nordlicht 1 and 2 wind farms back to Vattenfall in Q1 2025. Special income from the sale of BASF's food and health performance ingredients business had a partially compensating effect. Net income declined by EUR 1 billion to EUR 1.1 billion. In the prior year period, net income from shareholdings included special income in connection with the transfer of Wintershall Dea assets to Harbour Energy. Cash flows from operating activities amounted to EUR 2 billion compared with EUR 3.5 billion in the same period last year. The decline was primarily driven by changes in other operating assets, lower net income and higher cash outflows from changes in net working capital. Compared with the first 9 months of 2024, payments made for property, plant and equipment and intangible assets decreased by EUR 1.1 billion to EUR 2.8 billion. This clearly indicates that we have passed the peak investment phase for our South China Verbund side. Free cash flow was minus EUR 868 million in the first 9 months of 2025. Now this slide shows some more details of our cash flow. I will focus on the development in the third quarter, shown on the right-hand side. In the third quarter of 2025, cash flows from operating activities came in at EUR 1.4 billion. The decline compared with the prior year quarter was mainly due to changes in other operating assets. Payments made for property, plant and equipment and intangible assets decreased by EUR 510 million compared with the third quarter of 2024. Free cash flow amounted to around EUR 400 million. With that, back to you, Markus.
Markus Kamieth: Yes. Thanks, Dirk. Our assumptions regarding the global economic environment in 2025 remain unchanged. Likewise, our outlook for 2025 remains unchanged content-wise. Let me repeat this. Likewise, our outlook for 2025 remains unchanged content-wise. As a result of the reclassification of the automotive OEM coatings, automotive refinish coatings and surface treatment business, we have made a necessary technical adjustment. The adjusted outlook range for EBITDA before special items is now EUR 6.7 billion to EUR 7.1 billion. The difference compared with the previous outlook range of EUR 7.3 billion to EUR 7.7 billion reflects the expected full year contribution of the Coatings businesses that are part of the transaction with Carlyle and are reported now as discontinued operations retroactively as of January 1, 2025. So that is the sole reason for the different number in the outlook. The forecast for free cash flow and for CO2 emissions are unaffected by the restatement and thus remain unchanged. And now Dirk and I are glad to answer your questions.
Stefanie Wettberg: [Operator Instructions] We will now start with Christian Faitz. We will then have Tom Wrigglesworth and then Tony Jones. But now it's Christian Faitz, Kepler Cheuvreux.
Christian Faitz: Congrats on the results. Two questions, please. I guess all of us are fully aware that the current business environment is pretty bad to say the least. Yes, can you share with us some thoughts on current order income with October being the last really relevant month for the year? And also, will some major automotive OEM producers canceling their production on the back of the new chip crisis have an impact, particularly on your emission control business? And then my second question is on Ag. You cite adverse weather conditions impacting European sales in Q3. Can you please elucidate what happened there? Was this largely an inventory effect, i.e., BASF Agricultural Solutions buying back inventory from actually Q2 adverse weather conditions?
Markus Kamieth: Thanks, Christian. I will take maybe the first 2 questions. We currently do not see any major changes in the macroeconomic environment and also relates to the dynamics going into Q4. As we have said in our speech, almost all verticals, I mean, everything outside of, let's say, semiconductors, everything around AI, data centers and so forth, everything else in the normal overall industrial sectors that we typically serve are rather slow and moving sideways. So no real negative or positive development right now that is also reflected in the momentum we take into Q4. As we have also said in the speech, the only exception on the volume side is China right now. China is growing quite strongly, overall macro, the chemical market in China is growing healthily. And we have also, I think, with 12% volume growth in Q3 have seen a good volume momentum and that also relates, for example, to the automotive industry. Your second question on automotive OEM, I'd say, shutdown there's, of course, now for a few weeks, I would say, high nervousness again in the OEM landscape, particularly here in Europe, I would say, we have not seen any adverse impact, and we're not expecting any major impacts from this. And please remember that in all of our automotive-related businesses, our source of strength right now and our source of growth is mainly our significant market share in China. And for the Ag question, I might hand it over to Dirk.
Dirk Elvermann: Christian, on Ag, you're right, there was extremely dry weather conditions in part of Western European countries that were also impacting us. But I would say, overall, first of all, the third quarter is a seasonally low quarter for Ag. The results came in more or less as we have expected it and checking with the business going forward for the end of the year. I believe that Agricultural Solutions business will hit the forecast for the segment at least maybe a little bit better, but the business is fully on track to deliver the year-end result.
Stefanie Wettberg: So we move on to Tom Wrigglesworth, Morgan Stanley.
Thomas Wrigglesworth: So firstly, obviously, on the bridge you provided on Slide 5, in Surface Technologies, the EUR 179 million year-on-year improvement in EBITDA. Could you just break out some of the components of that, specifically this comment you've made around gaining subsidies and grants in the U.S. I guess we're keen to know what's an underlying improvement in this business versus what's a kind of onetime factor? And then second question is regarding free cash flow. Can you help us understand the moving parts, excluding EBITDA changes in 2026 that you expect to be influencing free cash flow. So the kind of the CapEx level and how that might drop. Obviously, the sale of coatings, what free cash flow net kind of loss that will be from the divestiture of that. And then obviously, the working capital buildup has been substantial this year in the China Verbund. What -- how should we be thinking about that? Clearly, with the sale of coatings, people are questioning the free cash flow generation of the business. So we're just trying to get a kind of post the divestiture, what that looks like.
Dirk Elvermann: Tom, this is Dirk speaking. I'll start with ECMS. So the ECMS -- EBITDA for ECMS was significantly -- was up, and this was due to significantly lower fixed cost as you have rightfully pointed, but also on the back of a strong precious metal trading business and volume growth. So it's a multiple component effect that we have here. And the lower fixed cost, apart from the efficiency measures taken by the business are indeed also due to grants in the U.S. as we have clearly stated. Now what we are seeing in the third quarter is a cumulative effect from -- not only from 2025 but also from the years '23 and '24. And going forward, there will also be a positive effect, and you might think about this effect on a net basis as a low double-digit million euro amount per year that the business is benefiting from. In terms of free cash flow, indeed, we can keep our outlook here for the full year. Markus already mentioned that we are significantly below in CapEx numbers also from the investment in China, but also beyond. And we are now calculating as a company with a CapEx for the year of around about [ EUR 4.5 a little bit more maybe billion ]. So this will significantly alleviate the pressure on free cash flow. Apart from that, all the businesses are super focused on working capital management for the last quarter of the year. As you know, this is the cash collection quarter for BASF and everybody is also super focused on inventory levels. And with regard to the free cash profile of the Coatings business, I would say, so far, it is still a part of the group's cash flow, as outlined a little bit earlier going forward. We will then also show these data differently, but you can be assured with everything that we want to achieve strategically. The underlying cash flow will be sufficient to cater for our capital allocation ambitions.
Stefanie Wettberg: So now it will be Tony Jones. We have then in the queue, Georgina Fraser and Chetan. But now Tony Jones, Rothschild & Co.
Tony Jones: I have 2. Firstly, on currency and impact to EBITDA. For this quarter, my simple math got me to about a EUR 90 million, EUR 100 million negative to EBITDA. Firstly, is that in the right sort of region? And then secondly, what is now the dollar euro sensitivity. Could you give us an indication for the core businesses? And then my second question refers to the well-known oversupply of chemicals and materials, particularly China. How do you see this developing by region over the next year or so? So for China, do you think there's still going to be net capacity additions? Or will it slow in Europe, capacity closure seem to have paused. So what do you think is happening with that? And then North America, do you see any need for further capacity? And if there is, would you participate?
Markus Kamieth: Maybe, Tony, I'll take the second part of the question, and then Dirk will answer the question on currency effects. Generally, I would say the oversupply situation is not changing quarter-by-quarter. So we can only repeat what we have said over the last, let's say, 2, 3 quarters, situation remains unchanged. In China, we have significant overcapacity in most chemical categories, I would say, upstream a little bit stronger than downstream. But for sure, everything is quite well available in China. However, we are seeing already, let's say, a slowdown of investment capacity, and we still see significant domestic demand growth. So overall, we continue to stay in our model that we expect a rebalancing of capacities over the next years, and that certainly will be supported also by the Chinese government in what they call supply-side reforms in -- to what level and to which extent we will have to see. But overall, I would say this is a slow-moving system, but it will re-equilibrate to some extent. That's at least our model as of today. In Europe, I do not necessarily share your view that the capacity adjustments have stopped because I think there is ongoing stream of announcements, and I also expect that over the next years, continued capacity rationalizations are going to be observed in Europe, just be reminded that from announcement to actually closing and shutting down a plant or a site 2 or 3 years can sometimes be necessary. So overall, we expect this to continue because we expect that quite a number of chemical assets in Europe are currently operating at not sustainable profit levels. And the situation in North America is that North American market, we expect to have modest growth also going forward for chemical products. It is a reasonably, let's say, midterm growing market. So capacity additions will certainly be needed in certain products, but we have no major plans now for big capacity additions in North America because also here, we're well invested. We have competitive assets all over the country. And with our latest investment project in the MDI expansion in Geismar, I think we have done the 4 BASF most attractive step right now. So also in the U.S. for the next foreseeable future, we expect a positive development, supply demand overall, and we don't have any major investments planned for the next couple of years.
Dirk Elvermann: Tony, on your more technical questions, FX impact on the earnings side, third quarter, your assumption is right, rather EUR 90 million than EUR 100 million negative. And for the sensitivity, mid-double-digit per U.S. dollar cent change. So let's say, roughly EUR 50 million per U.S. cent change compared to the dollar.
Tony Jones: That's great. That's very, very helpful.
Stefanie Wettberg: So now it's Georgina Fraser, Goldman Sachs.
Georgina Iwamoto: I've got 2 questions. One on Care Chemicals. I was a bit surprised to see the negative volumes, but prices up in the segment, and we also saw margins deteriorate a lot. Could you explain a little bit more of what's going on there because it's an unusual dynamic? And then the second question is a follow-up to Tony. So if I take your answer on the overcapacity situation, it sounds like it will be resolved by a growth of demand in China, and capacity rationalization in Europe. Given you've already announced a lot of your own capacity rationalization, could you talk about value chains you think are most likely to see meaningful consolidation that BASF would be able to benefit from on the other side?
Markus Kamieth: Yes, Georgina, I will also take the second part, give Dirk some time to think about the first part. It's hard to pick and pinpoint, I would say, certain value chains. But it's sure that if you look at capacity rationalization in Europe, in particular, you're looking at energy-intensive product or energy-intensive value chains where, let's say, the asset base is often also subscale compared to what is -- how things are produced in other areas. And that addresses 2 of the, let's say, sources of uncompetitiveness is, number one, the relatively high raw material costs, especially natural gas, other feedstocks in Europe compared to other regions. And second of all, also the age and certainly, the capacity of some of these assets compared to offshore assets that we have. So I would say in the area of high raw material and energy intensive production upstream, this is where certainly the hotspot of restructuring efforts will be. And if you see the announcements of the last, let's say, 12 to 18 months, a lot of that has been circled around upstream assets, cracker, cracker plus 1, especially in nonintegrated setups where often a lack of integrated value chain is happening at the site. So that's certainly the area where I would expect most. And if you look at the setup of BASF, like we have also discussed at our Capital Markets update. This is often not a setup. We are operating in Europe because we have at least on the commodity side often highly integrated structures in Antwerp and Ludwigshafen, where we have a significant value add beyond, say, the cracker and cracker plus 1 step. So I don't say that our assets are necessarily totally shielded by this, but we, for sure, have a higher resilience compared to other companies when it comes to running these assets because we provide significant value-add downstream. And that if you look at the chemical industry, it is not the case for many of the more isolated and nonintegrated assets that we see. And with this, Dirk, Care Chemicals.
Dirk Elvermann: Georgina, I'll take your question on Nutrition & Care. I'd say the entire segment, including Care Chemicals has EBITDA significantly below previous year's quarter, and it is mainly driven by lower contribution margins. And this is mainly on account of high price margin pressure, but also lower volumes. You see that in many areas, it's hard to pick an example here, but you could take, for instance, UV filters. You see here and there higher price developments, but this is not a margin expansion widely, but rather on the back of higher raw material costs. And finally, for Q4 for the outlook, I would not expect a fundamental change in the market dynamics for the rest of the year. It's only 2 months still ahead of us. So I would assume that the current trend is also following us for the rest of the year.
Stefanie Wettberg: We will move on to Chetan and then we will have James Hooper, followed by Laurent Favre and Geoff Haire. So now Chetan Udeshi, JPMorgan.
Chetan Udeshi: Again, I just wanted to discuss Surface Technologies and maybe in the hindsight, we should have seen some of this metal trading benefit come through because a few of your peers have also indicated the same. But just it would be useful to just remind us how is your business in terms of PGM different from that of Umicore or Johnson Matthey? I think you have a much bigger trading operations rather than refining and recycling. So I think in a nutshell, the question is, are you much more exposed to the trading volumes rather than the pricing? And in that context, is the trading volume uplift that you saw in Q3, more one-off? Or is that something that you think can sustain if prices remain high? That's one. The second question is, just going back to the government grants. You said it's about low double-digit million per annum sort of a benefit that you expect going forward. But because in Q3, you've seen the benefit, which has been accumulated or it's the benefit of a number of years. Are we talking about the benefit in Q3, specifically more closer to EUR 100 million then? Just curious in terms of the magnitude in Q3 from that contribution?
Markus Kamieth: Yes, Chetan, Markus here. To the second point, I think Dirk has given you already quite an indication here, I would say. And please also understand that the government grants are also linked to our specific business model that we run and which is slightly also different than maybe what our competitors do. So we would not like to disclose more as Dirk has said, and let me repeat this, that this was an accumulative effect of roughly 3 years. And on an ongoing basis, we expect a low double-digit million euro range. And I think you can do the math and get into the right ballpark here. So with respect to the difference to our competitors. Also here, I would like to not go too much into detail. I do not think that we have a fundamental different setup and business model. Of course, the size, especially of recycling operations are different, especially since one of our competitors or actually both competitors have significantly larger scope in terms of metal recycling, they recycle more metals than just PGM metals. We are focused very much on PGM. However, we have, of course, a leading position in the recycling of actual emission catalysts. So we have a much more integrated loop, if you want, on this side. And on the relative size of the trading business, this is -- I don't actually know this by heart, but I would say this also always depends a bit on the market conditions. So this is also not something that's carved in stone. So I'm not sure that this is a very helpful answer for you, but I would also not like to give much more details on this. And I think if you follow our competitors as well, you will do -- we will be able to do the read across of it.
Stefanie Wettberg: So now James Hooper, Bernstein.
James Hooper: I've got 2, please. The first one on Nutrition & Care. Can you provide a little bit more color on the kind of care chemicals and the Asian competition margins and whether that's imports, exports or any reason specifically? And how do you expect capacity situations in those markets to change? And also just on Nutrition & Care as well. Can you provide some updates on the dynamics of the vitamin markets and your production ramp-up? And then secondly, on Zhanjiang. On Slide 6, just looking at the -- from next year, the negative ramp-up cost bar seems slightly larger than the blue positive one. Should we be reading this that Zhanjiang will still be a negative contributor in 2026? Or do you have levers to potentially reduce losses here?
Markus Kamieth: Yes, Markus here. The second question, I mean, we discussed this already on the Capital Markets Update in Antwerp that there is, of course, now with the ramp-up being late in the year 2025, we will have significant start-up efforts still in 2026 because you can imagine that ramping up a steam cracker plus 20-plus downstream plants is not happening within a couple of weeks. And that, together with, of course, a challenging -- currently challenging margin picture, which could change within a few quarters significantly. It's very difficult to predict now with all these moving parts, an accurate number for 2026. We will try to do our best, giving you this as part of an outlook in February. But we have indicated this so because there is a likelihood that this number will be negative next year and there's a good likelihood that it could be positive next year. And this is the most honest and most transparent indication we can give you right now. And yes, that's basically also our state of knowledge right now. We're compiling all the numbers for '26, but we are expecting this to hover around the 0 range, slightly positive to negative that's why we painted it this way. Dirk, any comments on Nutrition & Care and the moving parts?
Dirk Elvermann: So to the moving parts in Nutrition & Care, maybe no particularities here for China to be told. But maybe on the volume picture here, as we have already indicated, volumes decreased in both divisions. And if it comes to vitamins, you also saw here the decrease which was compared to higher than maybe even expected inventory sell-offs for the last previous year's quarter. I would say, position and outlook for Nutrition & Care, very much in line with the other chemicals divisions here. We expect high uncertainty for the fourth quarter. We expect still ongoing weak demand and ongoing price margin pressure to persist globally. And therefore, also in Nutrition & Care, we are very much concentrating on our self-help measures, which for the nutrition part is certainly our efficiency program plus the further ramp-up of our vitamin production. And in the Care Chemicals, we also have a running efficiency program. As you know, so this is currently the main focus point for us and also for the rest of the year.
Stefanie Wettberg: Now we move on to Laurent Favre, BNP Paribas Exane.
Laurent Favre: Yes. Can you hear me?
Stefanie Wettberg: Yes.
Laurent Favre: Sorry to go back to Chetan's point on ECMS. But I'd just like to understand, I guess, where the improvements in the trading side are mostly linked to realized gains? Or is there also a component of inventory mark-to-market. So this is more of an accounting, I guess, a question. And I'm wondering whether, therefore, we can assume that if everything stays the same, there might be a further improvement into Q4? And the second question is more about the guidance, I guess, I know that last year, you kept the guidance, Markus, you mentioned that you had a fighting chance of getting there. I'm wondering whether it's something similar this year, i.e., if we have a abnormal seasonality into Q4, you would feel confident with the guidance? Or is there something else that gives you that confidence to reach at least the low point, if not more?
Markus Kamieth: Chetan -- sorry, Laurent, I'll take the second one. We are expecting Q4, as I said earlier, to stay more or less similar to Q3 in dynamics plus the normal seasonality that we have in our businesses. So in ag, of course, an uptick in activity in some of our more seasonal businesses that are, for example, construction-related serving downside, and we expect normal year-end behavior of customers. So this is our expectation. And based on this, we feel comfortable with our range. But we all know the volatility in the world is right now is very high in news can change this every day to the positive and to the negative. We know that this week, the U.S. President and the Chinese President are meeting, so who knows what's going to happen. So we are basing this on a rather stable outlook compared to Q3, and this is also what all our customers are telling us is going to happen in Q4. So we feel this is a robust outlook and -- but we certainly cannot exclude any surprises on both sides of this.
Dirk Elvermann: Laurent, to your -- to your ECMS question, trading. This is a real trading result. There's also some valuation effects, which are -- but anyway, as you know, largely hedged. So this is a decent trading result we are talking about.
Laurent Favre: Okay. And when we -- maybe a follow-up, we now have disclosure for the last 2.5 years. So we can see ECMS -- well, I guess the wider Surface Tech division printing EBITDA between EUR 70 million and EUR 170 million and a big step-up in Q3. If you look at the last 2.5 years, in those 6 quarters prior to Q3, was there any abnormally low result from trading? Or were all those quarters roughly normal and it's just that Q3 is so good this year?
Dirk Elvermann: Not that I'm aware of. No.
Stefanie Wettberg: Now we have Geoff Haire, UBS and the final speaker will be Sebastian Bray from Berenberg. But now Geoff Haire.
Geoffery Haire: I want to ask a slightly longer-term question. Given the volume environment we've had now for what the best part of 3 years in terms of very lackluster volume, are you concerned that the industry is going to start chasing volumes, particularly in more downstream products. You've obviously seen big price declines in upstream. But what is your fear that, that moves into the downstream area and we start to see effectively a price war for volume?
Markus Kamieth: That was it? All right. Only one question, Geoff. Thank you very much. Actually, I'm not scared, but I'm conscious that this is already happening. If you look at the commentary of also, let's say, more singular downstream competitors, more in the specialty area. They all will tell you that margins are compressed compared to what we have seen in the past. So competitiveness, race for competitiveness and with this also, let's say, a further competition on who has the best asset setup is also happening downstream. And this is why also we have addressed the Capital Market update also that we have restructuring need also in some of our downstream divisions because in general, the chemical company -- the chemical industry gets more competitive and that's true upstream and it's also true downstream. I would say, in general, downstream, of course, pricing cycles are much slower. There's also a lot of pricing and value components that go beyond the physical product, it is application know-how, it is innovation opportunity. So there's not a direct let's say, correlation between what's going on upstream in commodity areas and in downstream business solution type areas, but the trend that most of the businesses in the chemical industry become more competitive because a number of competitors are increasing and let's say, capabilities are commoditizing. That's certainly true, but that is also part of our outlook for the industry. That's part of our strategy because we bank on all of our businesses, especially also in the core being on top of the -- on top of the pile, so to say, when it comes to competitiveness and innovation capabilities. So we're not afraid of this, but it's a trend that is certainly materializing over the last 10 years, I would say, already.
Stefanie Wettberg: So now a final question from Sebastian Bray, Berenberg.
Sebastian Bray: Congratulations on a good set of numbers. I have 2, please. The first is on agriculture. The -- how is the company thinking about the pricing moving into '26 because some of this was starting to slip in Q3. I appreciate there's a danger of reading too much into 1 quarter, but I'm curious about the view on this. Can I also ask a secondary question on the terminology that BASF uses for describing its ambitions to IPO the business. Why does the company always use the term partial IPO rather than, let's say, full IPO? Is the ambition to remain indefinitely a long-term shareholder in this business or to divest completely eventually? And related to that, if we are looking at available proceeds, let's say, the German government insurance program pays out, the company has got more than it expected, probably 1.5 years ago for Coatings, is EUR 4 billion a firm number for buyback by '28? Or is it a number that offers some upside if cash proceeds continue to roll in?
Dirk Elvermann: Sebastian, I'll take your questions then. First on the Ag business. The Ag business and the agricultural industry altogether is still suffering from low soft commodity prices. There's, as you know, also uncertainty, particularly in the northern hemisphere with the farmers with regard to their purchasing power. So this is the more critical part. On the other hand side, I would say we have a healthy channel inventory. So demand substantially we see for our products. This is also why we are optimistic for the rest of the year that the Ag Solutions segment will deliver on its plans. Going forward, we see the business really in a competitive shape because we have last year taken a lot of measures, the restructuring of the glufosinate ammonium, which is now paying off and other efficiency measures taken in the division, which really give us a good competitive position. So I would say, despite the low price levels that we currently still see in the business, we feel good about the business also going into the next year. But certainly, it will be helpful at one point in time if the soft commodity cycle is then gaining momentum to the upside again. So with regards to the partial IPO, we are saying it's a partial IPO because we have no intention to launch 100% of the shares at the inception. We use the term partial IPO to show and to say that this business also beyond the IPO event will be a business that is consolidated into our group financials, and it's a business that we also like. We have not set any definitive portion of shares that we are going to launch on IPO at this point in time. We will do so at the right moment in time. And then what happens over time remains to be seen. But clearly, at inception, it will be a partial IPO, and this is what we are clearly saying. With regard to your question on proceeds, you are right, we have announced a EUR 4 billion share buyback program. I think we have confirmed it. And at the same time, we are now accelerating a substantial part of it, which I think should be a good sign of strength of the company. And this is it for the time being. I'm not excluding anything, but I'm also not changing anything here. It's the EUR 4 billion until 2028. And we said always this is the minimum. But let me also very clearly say that apart from share buybacks, the company has a job to do next year, particularly to deleverage the debt, and there's a good opportunity next year to do that because next year, we will have maturities of roundabout a little bit more than EUR 2.5 billion, and that will be also a priority for the use of funds that we will significantly deleverage the company in 2026 alongside the share buyback program that we have announced.
Stefanie Wettberg: We are now at the end of today's conference call. Let me take this opportunity to draw your attention to a dinner with BASF Board members that we will host in London on Wednesday, December 3, we will send out invitations to investors and analyst next week. Should you have any further questions regarding our Q3 reporting, please do not hesitate to contact a member of the BASF IR team. Thank you very much for joining us today, and goodbye for now.